Ignacio Sison: Good evening to everyone. Thank you for joining the Del Monte Pacific results briefing for the second quarter and first half ending October for fiscal year 2026. Representing the company in this call are Cito Alejandro, Chief Operating Officer of Del Monte Pacific and President and COO of Del Monte Philippines; Parag Sachdeva, CFO of DMPL and DMPI, and I am Iggy Sison, Chief Corporate Officer of DMPL. We were planning to go straight to Q&A earlier, but since the results have just been uploaded with our apologies, we will request Parag to go through at least the second quarter and first half results just to begin the briefing. And this can be followed by the Q&A, which will be moderated by our colleague, Jennifer Luy.
Parag Sachdeva: Thank you, Iggy, and good evening, everybody, who is on the call. Thanks for making time. Pleased to share with you our second quarter results for fiscal '26. Our revenue has grown by 10% in the first quarter (sic) [ second quarter, ] driven by higher sales in the Philippines and international markets. Our local business or domestic business grew by 9.3% in local currency, whereas our international business grew by 6.6% driven primarily by fresh, which in itself had an outstanding quarter, growing by 22.5%. So overall, very robust results. And when it comes to processed exports business, that's more timing of supply, and we expect a pretty strong quarter for processed exports as our supply is going to be much better in the second half. Our margin performance also, as you can see, was 660 basis points higher at 34.2%, driven by increased volume, better pricing and lower calorie and plantation costs with improved pineapple recovery and -- which is also a function of higher yield in the plantation and better fruit size distribution. So all the parameters that we were seeing had come across as headwinds in fiscal '24 have been progressing in the right direction and are tracking ahead from a plan perspective. Our EBITDA at $51.5 million, driven by higher sales and margin, is up by 39.2% and consequently, our net profit as well has increased by almost $14.5 million or significantly higher versus second quarter last year. Net debt during the same period has gone down by roughly $50 million or 4.8% as we continue to pay down our loans from internally generated cash flows. Our net debt to EBITDA at 6.1x is 2.2x better, resulting from debt reduction and improved profitability. Our cash flow from operations continues to be strong. For the quarter, we did $85.9 million. It was slightly lower than last year, and that's mainly because of inventory buildup ahead of the peak season and also since we had a pretty good pine supply in the second quarter as compared to our plan, which we will be able to sell very easily in our third and fourth quarter. So feel very good about our business and particularly cash as well, cash performance, too. So moving on to the next slide. In terms of the first half results, very much in line with what I mentioned on second quarter. Our turnover was strong at 11.3% with a double-digit growth that we saw in our Philippines business and also international business, just like the second quarter grew by 6.5%, primarily driven by our fresh exports, which was -- which grew at 16% in the first half. Gross profit was up 580 basis points due to the very reasons that I mentioned in second quarter. EBITDA 26.2% at $90.7 million, really driving an improvement in net profit by a significant percentage at $22.3 million. So net-net, our first 2 quarters and first half results have been very strong from a revenue growth perspective, from a gross margin perspective, EBITDA, costs, all have been falling in place, and we are also showing reduction in net debt, as I mentioned in the second quarter results. Cash flow from operations. Continue to have a strong momentum, whereby we are improving our working capital performance in addition to driving cash from profitability too. So at $162.7 million, very much in line with first half of fiscal year 2025. In addition to that, I would like to also address our capital structure improvement and strategic intent that we had shared with you, we continue to work on various options to improve our capital structure. That does include sale of certain noncore assets. That's something that we are pursuing as well as we continue to evaluate interest from certain investors in DMPI despite the softness in the equity markets that has particularly impacted Philippines in the last 2 or 3 months. We continue to get good interest from certain investors, and we are in continued discussions with them to address and raise equity in fiscal year 2026. With that, let me open it up for questions as Iggy had first outlined.
Ignacio Sison: Thank you, Parag. Are there any questions from...
Jennifer Luy: Yes, we have a few questions.
Ignacio Sison: Okay.
Jennifer Luy: Okay. How sustainable is the increased gross margin moving forward?
Parag Sachdeva: We do think the gross margin is sustainable. We have good momentum on our fresh business. And from a cost perspective, as I mentioned, we are seeing the results of improved productivity from our plantation area, which had been a major setback in fiscal year 2024. We do have improvement opportunities further to continue the margin trajectory going forward, both from a cost perspective, whereby we are laser-focused on reducing our profit leaks. That includes continued reduction in areas like defectives, line losses and also reducing any obsolescence or inefficiencies that we have in our business. So with those in play, I do think our margin performance would continue to be in the same levels, if not better, in the coming quarters.
Jennifer Luy: Thank you, Parag. Our next question is, how sustainable is the growth of fresh pineapple sales moving forward?
Luis Alejandro: Do you want me to answer that?
Parag Sachdeva: Yes, sir.
Ignacio Sison: So a bit of a background of what is driving the growth of the fresh market now. First of all is we have improved our quality delivery over the past 12 months. And as you know, in fresh, quality is king. And that has been our focus relative to our competition where quality is now an issue, okay? Number two, our demand in the key markets of China and Korea remains solid. In fact, a recent study that was released is the very optimistic reading of the China market in terms of growth over the next 3 years. And even in China, we have not yet again penetrated in the Tier -- much of the Tier 2 and the Tier 3 cities. And these are the priorities that we will have over the next 3 to 5 years. The third thing is we have the land. We are planted. And we know exactly how to deliver the volume over our LRP. As you know, pineapple is a 3-year cycle. So our LRP is fixed all the way to 2030. By doing so, we are able to really work on the sustainability of the growth that we have today. And so far, I can tell you that with the new leadership we have, we have 2 Costa Ricans right now leading our plantation operations and working with the local team, developing the talents of the local team. So that has worked well for us. And then finally, of course, I don't want to mention it, but our competitors are having a lot of agricultural problems. That we want to simply take credit for it, but it does help as far as supply arrangements are concerned. So that's the way I would frame the question on, is it sustainable? And yes. And I think the only way it can be sustainable is to make sure that the commercial as well as the supply chain side are well connected and well managed for us to deliver our future goals, which the immediate future goal we have is 2030.
Parag Sachdeva: Just to build on Cito's explanation, I also want to emphasize that in the last couple of years, our success story has been continuing to focus more on Deluxe variety of fresh business, which has worked very well for us and has been a bigger contributor year-on-year in terms of our total fresh sales. This has brought in a major factor on differentiating a much more premium variety of pineapple that the consumers have really accepted in all our core markets. So that differentiation with more and more focus on quality sets us up in a very good direction from a sustainable growth perspective.
Jennifer Luy: Thank you, Parag. Thank you, Cito. The other question is update on capital raising, which you've touched on briefly earlier, unless you have other things to add on capital raising.
Parag Sachdeva: No. I think we have continued interest from strategic investors, which we are pursuing. We can't probably share more at this stage, but would just like to mention that the headwind we are cycling at the moment is really the market sentiments, particularly in the last 2 or 3 months. But otherwise, the interest continues, and we also are continuing to actively pursue those interests that are in front of us. Thank you.
Jennifer Luy: A follow-up to that is, what are the noncore assets to be disposed? And is this significant?
Parag Sachdeva: Yes. Subject to certain approvals, we are looking at some noncore investments, financial investments that DMPL has. That's what we can share at this stage as an avenue of continuing to generate more liquidity and lowering our leverage.
Jennifer Luy: Thank you, Parag. Next question is, do you expect the second half earnings to be better than first half? And what would be the drivers?
Parag Sachdeva: I would say in the second half, we would still have a pretty strong trajectory. Margins will be also strong. But at the same time, we would continue investing in driving growth in our in our domestic business in the third and fourth quarter. We also would like to remind the investors that particularly in the third quarter of the calendar year, there has been some slowdown that has been experienced in Philippines. It's very well known that the GDP grew just at 4% in the third quarter. So there could be some impact from that from a volume performance perspective. Though with the plans we have, we feel we will -- we feel that we have good momentum in terms of getting the volume growth that we are experiencing from our core business in third and fourth quarter. But there are some risks around volume that we may experience because of the macroeconomic conditions that we have seen in the third quarter of calendar year recently. So I would say it would be good and strong, but will it be the same? I would suspect not. So if we have delivered $22 million of net income in the first half, second half projections are somewhat less because we are more interested in longer-term growth and our investments in the second half are higher than the first half.
Jennifer Luy: Thanks, Parag. We don't have any more questions.
Parag Sachdeva: All right. Thank you so much.